Operator: My name is Britney and I will be your conference facilitator this morning. At this time, I would like to welcome everyone to the Vontier Corporation's Second Quarter 2021 Earnings Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Ms. Lisa Curran, Vice President of Investor Relations. Ms. Curran, you may begin your conference.
Lisa Curran: Thank you, Britney. Good morning, everyone, and thank you for joining us on the call. With me today are Mark Morelli, our President and Chief Executive Officer; and Dave Naemura, our Senior Vice President and Chief Financial Officer. We will present certain non-GAAP financial measures on today's call. Information required by SEC Regulation G relating to these non-GAAP financial measures is available on the Investors section of our website, www.vontier.com, under the heading Financials. Please note that unless and otherwise noted, the presented financial measures reflect year-over-year increases or decreases. During the call, we will make forward-looking statements within the meaning of the federal securities laws, including statements regarding events or developments that we expect or anticipate will or may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties and actual results might differ materially from any forward-looking statements that we make today. Information regarding these factors that may cause actual results to differ materially from these forward-looking statements is available in our SEC filings and subsequent quarterly report on Form 10-Q. These forward-looking statements speak only as of the date they are made. And we do not assume any obligation to update any forward-looking statements. With that, I'm please to turn the call over to Mark.
Mark Morelli: Thanks, Lisa. And good morning, everyone. We are very pleased with our second quarter performance. Thanks to our team’s strong execution and rigorous application of the Vontier business system. We delivered another quarter exceeding our guidance on all metrics. We achieved 33% core revenue growth 450 basis points of adjusted core operating margin expansion and 69% adjusted earnings per share growth. The results were largely driven by growth and non-EMV solutions with better than expected growth in retail solutions and auto repair solutions. Core revenue growth excluding EMV was greater than 35%. Orders were strong, increasing nearly 40% year-over-year. Our backlog remains high with nearly 50% growth year-over-year and 20% growth sequentially. Our top operational priority has been navigating supply chain challenges. I'd like to recognize the tireless efforts of our teams. I'd also like to thank our network of supplier partners. Once again this quarter, we've leveraged the Vontier business system to successfully manage tight availability. We've also increased prices to more than offset inflation. We continue to focus on our most critical profitable growth initiatives. In addition to our accelerated core growth, we saw margin expansion across the platforms through better focus and prioritization and we are gaining momentum. We're also making progress on the innovation front with new targeted high growth market offerings, and macros launch of the Maximus 4.0 diagnostic software. We've consistently made meaningful progress towards all of our operational and strategic goals since separation only nine months ago. In particular, we recently announced the acquisition of DRB, who's focused on technology and software solution complements our existing point-of-sale and payment offerings. This also gives us critical scale, establishing a $500 million retail solutions portfolio. The addition of DRB enhances our growth and recurring revenue profile, profitability and free cash flow generation. This is an important first step in diversifying our portfolio towards long-term secular growth drivers in attractive markets. While the acquisition is subject to customary closing conditions, including regulatory review, we anticipate closing this transaction in the third quarter giving us approximately mid-to-high teens cents per share accretion to 2022. Over the years, the Vontier team has done a remarkable job of strategically expanding our portfolio. We've built a competitive advantage by offering a broader suite of products. As we more deeply embed ourselves in our customers workflows. We focus these offerings on the highest value part of the workflows, leveraging the more intelligent electronic components of the system and connecting the convenience store with the forecourt.  In the early 2000s, we strategically focused on point-of-sale systems, site control systems and software systems. In 2017, we acquired a leading provider of hardware and software solutions focused on retail and site systems automation. Our systems are now more profitable and benefit from regular upgrade cycles. The future of the convenience store is bright and transforming. While operators will need to maintain fueling infrastructure for decades, it's clear that our customers will increasingly be investing in non-fuel retail including sustainable services like car washes. The DRB acquisition positions us well to continue to support our customers as they diversify their offerings. So you can see why DRB fits our strategy. I'm happy to share today that we plan to host a deep dive into retail solutions, including DRB this coming November. Stay tuned for more details on this virtual event. Moving to the outlook, we're raising our full year 2021 adjusted diluted net EPS guidance to $2.77 per share to $2.82 per share. This includes improved assumptions for high single-digit core revenue growth, and core adjusted operating margin expansion of greater than 125 basis points. This increase to our core growth outlook reflects mid-teens growth at Matco improved non-EMV demand at GVR in developed markets, and includes a more favorable view of the 2021 EMV headwind of $75 million to $100 million. Excluding the EMV impact, core revenue growth is expected to be low-teens despite the challenging comps in the second half. As a reminder, this year's guide reflects a tale of two halves given the pandemic comparisons in EMV dynamics. We are initiating our third quarter adjusted diluted net EPS guidance of $0.71 to $0.74, which includes assumptions of essentially flattish core revenue, and core operating margin. With that, I'll turn it over to Dave to provide the financial results. Dave?
Dave Naemura: Thanks Mark. Adjusted net earnings for the second quarter were $104 million an increase of 70% from $61 million in the prior year period. This translated to adjusted net earnings per share of $0.61 cents, compared to $0.36 cents in the prior year period. The double-digit increase in earnings was primarily driven by strong broad-based volume growth, which led to 450 basis points on adjusted core operating margin expansion in the quarter. Core revenue growth in the second quarter was 33% against the prior year Q2 that declined 21% in the height of the pandemic impact. This growth was driven by broad-based non-EMV growth of greater than 35% and augmented by the continued strength of the EMV roll-out in North America. In GVR, core revenue and bookings grew more than 25% and more than 35% respectively, while Matco had more than 50% core revenue and bookings growth. High growth markets were also a significant contributor in the second quarter, growing core revenue more than 25% year-over-year, led by continued progress in India and Latin America. Importantly, we saw the strong Q1 end market demand continue in Q2. Adjusted operating profit for the second quarter was $151 million growth of 66% compared to the prior year period, primarily driven by strong core revenue growth. Though our teams -- to our team's execution and -- execution of portfolio profitable growth initiatives and continued management of dynamic supply chain and inflationary environments. We drove approximately 70 basis points of gross margin expansion of 450 basis points of adjusted core operating margin expansion more than offsetting almost $20 million of temporary cost reduction actions in the prior year Q2 that have returned to the business this year. In the second quarter, we generated adjusted free cash flow of $45 million, a conversion of 43%. This uncharacteristically low conversion rate, which is expected to be the low point for the year reflects two items which we communicated on our call last quarter. First, we paid an incremental federal tax payment of approximately $30 million in the quarter, which was a dynamic from our spin in Q4 of 2020. And second, we built approximately $30 million of net working capital, while continuing to satisfy strong demand conditions and run at outstanding working capital levels. We ended Q2 with working capital dollars at 6.2% of last 12 months sales and increase from Q1 levels of 5.6%. But still a very low working capital level historically. Adjusting for the impact of the extra federal tax payment, our adjusted free cash flow conversion was approximately 70% in the quarter. Our year-to-date adjusted free cash flow conversion is 95%, consistent with our communicated guidance for 2021. Additionally, our net leverage stands at 1.7 times adjusted EBITDA down from 1.9 times in the first quarter and down from 2.6 times at the time of our spin in October of last year. This deleveraging has been enabled by strong earnings growth and free cash flow conversion. Looking at the performance of our two platforms, mobility technologies had core revenue growth of 26%, primarily due to more than 25% core growth in GVR and GTT, partially offset by low single-digit decline and Teletrac Navman. The strength in GVR continues to be multifaceted. We saw greater than 35% core growth in non-EMV sales, driven by retail solutions, after-market and environmental solutions, and more than 25% core growth in high growth markets. And we continue to see strong demand from EMV in North America in the months immediately following the deadline. As expected EMV dollars declined sequentially from Q1, but did grow on a year-over-year basis. Core revenue growth that our diagnostics and repair technologies platform was 57%, driven primarily by continued strong demand in Matco and Hennessy. Matco experience more than 50% core growth. This was driven by continued strong demand environment and a growing distribution base, reflecting our fourth consecutive quarter of strong net franchisee additions, following the pause that we saw during the height of the pandemic. Looking at total company sales regionally, the growth was again truly broad-based. As I mentioned, high growth markets grew core revenue more than 25%. And our developed markets in total had core revenue growth greater than 30% led by greater than 35% growth in North America and low double-digit growth in Western Europe. We continue to make progress on our profit improvement actions that will better position the company in the back half of this year and in 2022. We recognize the restructuring charge of $3 million in the second quarter. This is part of the approximately $20 million charge that we continue to anticipate for the full year. This charge is excluded from our adjusted net operating profit. We continue to expect to have these actions substantially complete in the year, positioning our exit rate to achieve the full benefit of these actions in 2022. Before discussing our outlook and assumptions, I want to provide additional color on the EMV outlook. As we have previously stated is a very fluid situation, and we continue to execute extremely well powered by VVS and as evidenced by our continued backlog strength, booking strength and our agile ability to manage supply constraints. We currently expect the headwind associated with EMV to be in the range of $75 million to $100 million for the full year 2021 down from our prior estimate of $100 million to $150 million. We will continue to assess the situation and provide updates as appropriate. When we entered 2021, we highlighted that the quarterly trend of our year-over-year growth in the year would be impacted by the strength of the V shaped recovery that we demonstrated last year, and the roll-off of EMV as we pass the adoption deadline, the tale of two houses we referred to it. The net impact of these two compounding dynamics is that we expect second half adjusted earnings per share to decline high single-digit percent compared to the prior year period. In contrast to the 54% of adjusted EPS growth, we just completed in the first half of 2021. Having said that, we expect the second half revenue and earnings to be higher than our first half performance, a seasonality that we would directionally expect to see in our business. But the growth dynamics are highly impacted by the comparison factors that I mentioned. Taking a closer look at our 2021 outlook assumptions, starting with the third quarter, we expect core revenue growth to be flat to slightly negative and adjusted core operating margin to contract by approximately 25 basis points. This dynamic is primarily reflecting the difficult comps related to the strength of Matco, EMV and Mexico Fiscal Regulation in the prior year period, consistent with the tail two halves and translates into adjusted earnings per share of $0.71 to $0.74 in the quarter. For the full year 2021, we are increasing our core revenue guide to high single-digit growth compared to our prior outlook of low-to-mid-single-digit growth, which equally reflects the better than expected demand in non-EMV solutions and our favorable revision to the EMV outlook. Additionally, we are increasing our core operating margin expansion target to greater than 125 basis points in 2021 reflecting continued execution on our profitable growth initiatives, in cost management and partially offset by persistent but manageable inflationary pressures, supply chain constraints and mix. All told this translates $2.70 to $2.82 of adjusted EPS growth of approximately 12% to 14% year-over-year and an 8% raise at the mid-point of our prior guide. We continue to expect adjusted free cash flow conversion will be approximately 95%, reflecting continued working capital management of all time low levels and the low capital intensity of our business model. Overall, the second quarter, capped-off a robust first half of 2021 and supports another meaningful raise to our full year 2021 expectations for core growth, margin expansion and earnings growth. With that, I'll turn it back to Mark.
Mark Morelli: Thanks, Dave. To wrap up, this quarter we made significant progress on our critical priorities to drive profitable growth and on advancing strategically and financially beneficial M&A. Profitable growth initiatives are delivering ahead of plan. Our DRB acquisition diversifies our portfolio aligned with our retail solution strategy presents a compelling runway of expansion opportunities and offsets the EMV headwind now upon us. Yet we know our work continues. We're building momentum and remain committed to discipline deployment of capital driving accelerated growth and creating value as we continue our transformation. Recognizing it's Friday at the tail end of earnings. I'll turn the call over to Lisa so we can get to your questions.
Lisa Curran: Thanks, Mark. That concludes our formal comments. Britney, we are now ready for questions.
Operator: [Operator Instructions] We do ask that you please limit yourself to one question and one follow up. We'll take our first question from Andrew Obin with Bank of America.
Andrew Obin: Yes, good morning.
Mark Morelli: Hey, good morning, Andrew.
Andrew Obin: Just the question we've been getting sort of EMV headwinds this year grow from $100 million to $150 million to $75 million to $100 million. But effectively, this means that 2022 will face when it's $25 million to $50 million greater headwind. So I appreciate that you're not providing ‘22 guidance. But should we think about better demand this year? Is it go forward of the same total opportunity? Or is the total EMV opportunity larger than you thought? Thank you.
Dave Naemura: Hey, Andrew, it's Dave. Just a couple of points. Generally speaking, we do see the size of the pie increasing as we continue to take share, and we're seeing favorable mix in how people adopt EMV we are seeing more dispenser sales and less just kit retrofits. Having said that, with our updated guide for the year of $75 million to $100 million, like we said, we see the ‘22 impact similar to that. So the overall pie increasing a little bit. But we've also said historically that we needed to get past the adoption deadline to see how the many, many small customers would adopt EMV. And I think what you see is us beginning to get some clarity, or at least opinion at this point on how that will happen which is probably a little more rapid than we had previously anticipated. Thanks for the question.
Andrew Obin: Got you. Really appreciate it. And just a question for Matco. Can you just help us with 50% order growth in Matco, but the guidance seems to imply mid-to-high teens growth in the second half? You guys did highlight the fact that you have comps, but still this is a business, what orders turn into sales, I guess pretty quickly to see if you can help us for that? Thank you.
Mark Morelli: Sure. And I'll take that question, Andrew. Look the -- there's no question the underlying market conditions there are strong and technicians continue to buy, which is of course very encouraging. A couple of things that really give us encouragement here and by the way, we think there continues to be some strength is that we continue to do really well on that franchisee -- net franchisee ads. And as you may remember, about 30% of our territory in North America and Canada are not yet penetrated with our franchise distribution and is a little bit unique to us in the market. And we're doing just great. Adding the net franchisee ads, the other thing that's driving the sales is we're having a really good vitality, we're offering new products to the market keeps customers coming back. And keeping them really interested in our product lines. I mentioned one on the phone here today. We also had our Q2 Matco Expo in Q2 in person. And so we think there's is good demand there. And we also think there's [legs] to it.
Operator: And we'll take our next question from Steve Tusa with JP Morgan.
Steve Tusa: Hi, good morning.
Mark Morelli: Hey, good morning, Steve.
Steve Tusa: Can you just talk about maybe some of the moving parts in in free cash going forward and just some of that -- some of those puts and takes?
Dave Naemura: Sure. So kind of coming back to the second quarter a little bit. We knew we had the extra tax payment in the year we'll have five tax payments in 2021 versus only having three in 2020. So we saw that $30 million incremental payment coming. Our conversion was a little low that were -- lower than we were thinking otherwise, even with that tax payment, given some build in working capital. So we were at 5.6% of LTM sales in Q1, which was just -- I think we've mentioned unsustainably low levels of working capital. So we built back about $30 million, we saw part of that come in, it was probably a little bigger than we thought. But the real mover for the rest of the year will just be working capital and our ability to hold these levels. I think we're materially going to be around kind of that mid sixes range here. And that's ultimately what will drive free cash flow conversion for the second half. First half, as I was saying in the prepared remarks, 95% conversion, that's what we're anticipating for the year. So we would anticipate the second half being around that level as well, which contemplates us doing a good job continuing to maintain these historically very low levels of working capital.
Steve Tusa: Yes, it makes total sense. Can you talk about what's going on in the telematics business just trend wise?
Mark Morelli: Yes, certainly this is Mark. We will continue to make progress in the telematics business. One of the areas that we've been focused on that we make good progress on is on the reduction in churn. We're also measuring ARR, which of course, is annual recurring revenue. And we're on a five-month growing trend of ARR, which is a pretty big departure in the past as we continue to build out our TN360 offering. At the same time, we're reframing the business to focus more on profitable growth. Because we think that the ability to scale this business and reframe it in that light, and pick up some margin opportunity is pretty important for us. We've added a new President, his name is Alain Samaha, he is an industry veteran that has years of driving software, business expansion and organic growth as well as M&A. So we're really happy to have him on Board. He's just now getting settled. But we're going to keep you posted on this, we believe is a very attractive space and we believe the turnaround continues.
Steve Tusa: Great. Thanks a lot. Appreciate it.
Mark Morelli: Thanks.
Operator: And we will take our next question from Nigel Coe with Wolfe Research.
Brian Lau: Good morning everybody, this is Brian Lau on for Nigel. So maybe first wanted to talk about the backlog a little bit. So it's up 20% quarter-over-quarter and flattish year-over-year sales, guidance 3Q and imply maybe high single-digit growth quarter-over-quarter. And I think the last couple of quarters, the backlog has been more weighted towards the Matco build. I'm just curious, are you baking in some conservatism for maybe some unforeseen supply chain headwinds? Or can you just reconcile the backlog versus kind of quarter-over-quarter implied revenue growth?
Dave Naemura: Yes, thanks. Yes, backlog is definitely high right now, I would say that we entered the year high. And we've continued in the first half, to see bookings outpace revenue. So we are at a very high level right now. And we anticipate that that will moderate as the year goes through and will bring backlog down to the levels at which approximately we entered this year. So again, still high levels. But, we see that reduction back to where we enter the year over the course of the year. There's definitely some supply chain constraints that we're building in, but I don't think it's conservatism I would call a balanced, I think we're pretty realistic that we continue to manage it in the second half, as we have in the first so -- but clearly the demand profile is strong and Matco and particularly with EMV and other parts of GVR kind of across the board. So it's pretty broad based the order build and the backlog build and we have plans to reduce that as the year progresses.
Brian Lau: Great. And then just briefly touching on the franchisee you had Matco. So, can you give us an update on how that -- where that number is year-to-date on percentage basis? And then also, how are their ramps tracking kind of for all the franchisees you've added during the pandemic having to onboard virtually are their KPIs trending? How you would have seen it historically?
Dave Naemura: Yes, well, I'll take the first part, then hand it to Mark. So we're at about -- I think we're 38 to the first half of the year in net franchisee additions. And that's important for a few reasons. One, we have positive franchisee additions in the first quarter. And if we were to see, that's usually a quarter where you see a little more attrition than ads. So that's really great. And then we had a strong second quarter as well. If we look back over the last four rolling quarters, we're at 94 additions for the last 12 months, which is very strong. We usually target kind of 50 plus in a 12 months period. So we see that as a very strong result. I will pass it to Mark for the other half.
Mark Morelli: Yes. So part of your question there was, how do we work on building that out and we’ve actually had to change that quite a bit, you can imagine going to this virtual environment, we used to sit across the kitchen table and sign up franchisees. And so the issue is, is clearly that it's had to deploy to a more virtual format. And given that it's more virtual, we've had to be able to make traction there more digitally, but we think it's a very effective model. And we're deploying that on the growth and it's really working out for us.
Brian Lau: Great, thanks.
Operator: And we will take our next question from Andrew Kaplowitz with Citigroup.
Andrew Kaplowitz: Hey, good morning, guys.
Mark Morelli: Hey good morning Andy.
Andrew Kaplowitz: Mark, you mentioned that your profitable growth initiatives are ahead of plan, maybe you could give us a little more detail around what you mean by that. I know you already mentioned improving businesses such as Teletrac Navman. But what is actually ahead of plan across the portfolio, and then you obviously delivered low 30% incremental, this past quarter, even as temporary cost came back. So when you think about your longer term, incrementals, which I think you've said is closer to 30%. Do you think at this point, do you have the potential to deliver consistently better than that?
Mark Morelli: Yes, so let me take the first part. And I'll turn over Dave, for the second part. So thank you for that question by the way. We have a very down selected what we say is our kind of critical few growth, profitable growth initiatives. And a lot of that you're seeing kind of read through one of those really pays-off, actually a couple of those really pay-off on the non-EMV growth, which I think if you also compare historically, is clearly got some momentum behind it. But really, specifically to your question, it's on retail solutions, and how we build that out high growth markets, as well as in the diagnostic and repair both at Matco and Hennessy. And Hennessy is reframing their business has seen some strong growth and as you know, is below sort of fleet revenue and margins. And so we're seeing really good traction there. We also have a critical initiative around gaining share with EMV and I think we're doing pretty well on that one as well.
Dave Naemura: Hey I am Dave. On the incrementals, in the second quarter, we had low incrementals because of the one-time cost take outs obviously in the prior year, if you would kind of normalize for that, you would have seen incremental is kind of in that closer to 40%, right around 40%, where we've historically run. I think we've talked about this business kind of been in that mid-to-high 30s incrementals rate. And we can push a little higher than that, where we get a lot of progress on these profitable growth initiatives. And I think that's sustainable for the longer term, particularly as we continue to be accretive and do deals -- sorry, acquisitive, and do deals and contribute to continue to add to the kind of financial metrics of the company. I think we'll see sustainability or improvement there in the future.
Andrew Kaplowitz: That's helpful guys. And then Mark, can you give us a little more detail on how fast the GRV is growing in the margin potential of the business? I know you said EPS accretion in the mid-to-high teens for ‘22. But to get to ROI save 10% by your 5%, I think we would have to grow decently fast or in the shorter term and or have high incremental, so maybe give us more color regarding how the business is growing in ‘21? What kind of incremental margin could this business generate over the next few years?
Mark Morelli: Yes, thanks for that question. We believe there is a high single-digit plus growth rate that's in place. And we think that really -- that's built out around a couple things. First of all, their primary business is putting in a point of sale system, leveraging off a controls infrastructure that's there. And then they layer on to that embedding into the customer workflows. That includes digital data analytics around workflows for customer retentive type initiatives and what they really talk about their sweating our customers assets, where they drag more productivity through that through recurring business models. And they have a layer where they arrange for payments, which is also a high growth very sticky and very margin accretive business.
Andrew Kaplowitz: Thanks, guys.
Operator: And we will take our next question from David Raso with Evercore ISI.
David Raso: Hi, thank you for the time. I was curious, the incremental EMV opportunity, you're speaking of a larger pie, how is the profitability of that business versus some of the early part of the EMV [indiscernible]?
Mark Morelli: Yes, thanks, Dave. Hey, it's similar, in some cases maybe even not better. As we move through EMV adoption, obviously, some of the largest customers that have adopted earlier, have some better volume based agreements. So as we move through this, on average, the customer profitability remains solid. And as the pie increases, that we work through this kind of the latter parts of adoption here, I'd say the profitability is the same, if not a little bit better than what we experienced, kind of in the earlier stages.
David Raso: 2022, that decline being similar to ‘21, a pleasant surprise, but I'm just trying to understand in a way that would way it plays out quarterly. Next year's ‘22 sales are they almost [indiscernible] reaccelerating. But the math can almost get there. And what you expect in the second half of ‘21, do EMV sales are steady through ‘22 or even pick up a little bit sequentially.
Dave Naemura: Yes, David, I think we are not in a position here at this stage in the game to give you the shape of EMV. within the year, next year, I think, as we've gotten past the deadline, I think we have a good feel for the behavior of the smaller customers. So I think we're able to kind of call next year as best we can at this stage, we look forward to in the second part of the year coming back and giving folks an update. But I think we wouldn't dimensionalize it further than that, at this stage.
David Raso: Okay. And lastly, on DRB for next year, just looking at the credit agreements last night and kind of what the margins came in at. This was obviously more of a growth acquisition than a margin improvement. But just to be clear, it does seem like you're assuming similar margins next year for DRB equal to what kind of came in, right. So this is not about margin expansion next year on DRB, this is just top line, does that type and get to that accretion number, need margin improved?
Dave Naemura: Yes, I think you're right in the near-term, Dave. we see this as a good growth opportunity. This is a growth play. But over time, as kind of had been mentioned before as well. We do see good margin expansion opportunity here. There's -- this is a growth play not a synergy play. But there are some benefits from that. And with the good growth that this business should put-off, we should get some margin opportunities as well. We got some exciting new products and capabilities that will help with that as well. So all those things conspire, kind of overtime to help us in kind of that five-year window, deliver a pretty nice result, we think.
David Raso: Thank you for the time.
Mark Morelli: Thanks, David.
Operator: And we will take our next question from Julian Mitchell with Barclays.
Julian Mitchell: Hi, good morning. Maybe just a question on capital deployment and acquisitions, post DRB. Maybe give us some thoughts as to what kind of leverage level you think you'll be at pro forma with that and how comfortable you are doing acquisitions in the 12 months following the close of DRB?
Dave Naemura: Hi, Julian. Hey its Dave. So post DRB, assuming the closes, as we anticipate here, in the third, we should be around three times that that leverage well within kind of the metrics that we talked about. And without further M&A, we would continue to de-lever and be below three times again by year-end. But having said that, we would have capacity to do additional M&A within the existing balance sheet here, we've always said that we could go above three times clearly within our stated objectives with line of sight to come back below three times in a reasonable amount of time. We've also talked about doing different types and sizes of deals, we continue to cultivate that remains to be a decent pipeline out there. So we're not out of the market by any stretch. There's a number of attractive properties of different types and sizes that we continue to work through. And for the right deal, we would get it done. Having said that, we're thrilled to have deployed this amount of capital on this asset. And we think it's a great start very consistent with how we've always talked about starting something that's a creative diversifies the business, but is in a space that's not kind of known to us in the near adjacency.
Mark Morelli: Let me just jump in on that one, too. I think what this really shows, this is really in our sweet spot of what we've been telling you about it's near-end, it fits our strategy. It's got great financials. And I think that if anything, we're continuing to build out our pipeline here, I think it's indicative that we have things in our pipeline. And I think there's other good things in our pipeline that we continue to cultivate and we continue to work on it. But keep in mind, it is strategy lead. And I think that we're just building off some momentum here, that we kind of had in the business all along and have to kind of reinvigorate, but we're really pleased on the progress we're making here.
Julian Mitchell: Thanks very much. And then secondly, just on the sort of base business, diagnostics and repair technologies, overall I think you had 40% growth or so in the first half year-on-year, maybe just clarify, for me sort of that piece overall, what's dialed in for the second half of the year-on-year, and how you're thinking about that pace of sort of growth normalizing maybe second half revenue versus 2019 and how you're trying to think about those types of dynamics when you're forecasting it?
Mark Morelli: This is where we really saw a good part of the V shaped recovery last year, Julian, particularly at Matco, where -- they really snapped back after a tough second quarter returning to growth of third quarter really high single-digit growth in the fourth quarter. And this is set of businesses where we haven't historically seen, obviously, high single-digit growth level what we saw in the first half of this year, having said that, the end market is very strong. We look at the number of distributors on the road, and it's greater than ever, not only are we adding franchisees, but the number of distributors that are out there working is very high and the credit metrics with our end consumer is very good as well. So we round trip that very difficult compare, but we still anticipate some decent growth in the fourth quarter, even against those tough compares. But I think over time, we've always said that these businesses were kind of low to lower mid-single digit type growth businesses, and I think will normalize back to that. But I think this strong end market will continue. And that's what we're anticipating for the year. And frankly, growing off of last year was very strong second half.
Julian Mitchell: Great, thank you.
Mark Morelli: Thank you.
Operator: And we will take our next question from John Walsh with Credit Suisse.
John Walsh: Hi, good morning.
Mark Morelli: Hey good morning John.
Dave Naemura: Good morning.
John Walsh: Hey, wonder if we can come at the mobility tech question a little bit differently as we look forward. So you talked about the strong non-EMV orders. So just wanted to understand a little bit better about how that order conversion the sales looks for that part of the business. And then, as we look to next year, appreciate the update on the EMV headwind. Are there any countries obviously this year we've had Mexico create a comp issue? Is there anything outside of EMV we should think about as remodeling next year?
Mark Morelli: Yes, a couple of points there, John. So I think this is a very broad brush. But when we think non-EMV within GVR within mobility tax, so let's just talk about kind of GVR, I think we'll see a little faster conversion of backlog. And that has to do with probably the place where we have the most activity given the advent of EMV is here in North America. So I think outside North America will be able to turn backlog a little bit faster than we otherwise would. As far as compare items it's just the last year at least in 2021, 2020, had a pretty odd shape to it. And [indiscernible] vary by region. So we saw North America come back very fast both with EMV and Matco. And that creates kind of a lot of this tale of two halves dynamic that we've talked about. But we then saw in the fourth quarter, some emerging market or high growth market activity come back quickly, particularly in India. So you've got Mexico that kind of flowed through Q3, Q4, and again Q1 of 2021. As we shipped that out, you had very strong recovery in India in the fourth quarter of last year where we had I think about 80% core growth, we saw some pent-up demand flow through. And then of course the overall EMV dynamic is going to have its own shape. I think those within the mobility tech arena are the big compare items we need to think about.
John Walsh: Great. So if you put them all together, I mean, should we expect mobility to be up next year?
Mark Morelli: Well, look, I want to hold-off on getting too far into next year. And until we've dimensionalized, the nature of EMV. So more to come on 2022 as we get into towards the end of the year here.
John Walsh: Great, worth a shot. And then maybe you talk about price in excess of inflation. When you think about the pricing actions you're taking, are these -- is this like strategic pricing you think you'll be able to hold? Is it more of surcharge related to some type of commodity inflation or component inflation that you might have to give back? How should we think about the price capture when hopefully we get some deflation from the levels we're at today? Thank you.
Dave Naemura: Yes, thanks for that question. I think it's very much strategic pricing. We're -- what I think we've gone out with and by the way, we started in Q4 of last year, because we saw strategic pricing activities, even before we started saw this sort of big inflationary thing really gained some headwind to it, or -- excuse me tailwind to it. So I don't -- there's not actions that we're taking out there that are just sort of spot related. I think this is absolutely thought through strategic. And there's been a couple ways as we seen sort of more inflationary pressure increase. But I think what's here is pretty responsible, very strategic. And I think, quite appropriate. So I would imagine there's a fair amount of stickiness to it.
John Walsh: Great. Thanks for taking the questions.
Mark Morelli: Thank you.
Operator: And we'll take our next question from [Rob Mason] with Barrett.
Unidentified Analyst: Yes, good morning. Just to follow up on that last question around price. I'm just, maybe I missed it. But did you quantify what price contributed in the second quarter? And what that curve looks like as we get through the second half?
Mark Morelli: Yes, let me comment on the pricing for full year. And then we'll give you the quarterly number here in a second. We're currently forecasting greater than 2%. price for all of 2021. And this is up about 50 basis points, based on our last guidance of 1.5%. And then the quarterly pricing here, we'll get to in a second.
Dave Naemura: Yes, it wasn't too December there in that time to 2.5%.
Unidentified Analyst: Okay. Okay. Just a follow up question around DRB, Mark, as you went about doing your work, due diligence work there, I just -- I wanted to see if you could speak to how you define the [indiscernible] around that business, and perhaps the competitive landscape and how they're positioned within that industry.
Mark Morelli: Sure, they are very strong, they're the market leader of about a $900 million Tam, about 20% share. And the number two player is a distant number two. And what really does build the most specifically to get to your question is that they get in there with a point-of-sale system, which is very sticky to have, and they're -- if you look at their brand, they're the [Kleenex] brand and what they do in the industry so -- and then what they do, which is really excellent is they layer on to that. And they build out onto that the digital offerings that I spoke about whether they be related to analytics, customer retention, how they make the assets, more productive, recurring revenue, as well as arranging payments. So it's, a great business model.
Operator: And we will take our next question from Andrew [indiscernible] with Berenberg, Your line is now open.
Unidentified Analyst: Good morning, guys.
Mark Morelli: Good morning.
Dave Naemura: Good morning.
Unidentified Analyst: To achieve your 10% return on invested capital with DRB, are you assuming you're going to have to make -- is that assume M&A?
Mark Morelli: No, that would be just from the purchase of the asset as opposed to incremental M&A, within that asset.
Unidentified Analyst: Okay.
Mark Morelli: To be clear, it's also calculated without using the piece that we're carving off to the value of the tax asset that we get, so we -- the total purchase price is 965 less 130 for the tax piece. So we got the residual of 835, which is what we consider the investment to measure ROIC.
Unidentified Analyst: Okay. And then, -- this obviously this business fits quite well with your existing POS business. Can you talk about some of those synergies, some of the bigger one and then maybe how does this business compared to that number two player in year -- will you be competing on deals with them?
Dave Naemura: Yes, sure. The leverage we get from our existing business is that one, you see the convenience store building out in terms of services, like I spoke about on the prepared remarks, and one of those is in car washes. So we sell to some of the same customers you can imagine in the car wash, but in the convenience store space on car wash, so you get some sales synergy there. There's also, perhaps some cost synergies, but the thing that really excites us is not just the synergy piece, which I think is there but fairly light. But there's also a capability as springboards us into the tunnel car wash, which is growing even faster. And it's the kind of infrastructure play that we really like in the sense that it's out there, it's distributed, it's in your local neighborhood and the kind of transactions that we're used to in terms of a convenience store. And so that -- this play is a very, very familiar to us. And it's something that we can work with them and exercise on growth. So we liked that a lot. And the second part of your question, can you remind me what that was please?
Unidentified Analyst: Just -- yes, how it compares to – sorry -- yes, compared to your competitor and then whether you can get it be competing on deals with them, too?
Dave Naemura: Yes. So first of all, as a competitor, you're going to certainly compete in the marketplace. But what makes us unique, is that since we are controls in specifically hardware agnostic, which means we put our controls and capability in software, regardless of the hardware that's in a car wash. And when you look at the hardware, think of the brushes, think of the automation, there's folks that go out there and do that. Our number two competitor in the market actually is owned by somebody that owns hardware and software. So we think this makes us quite unique for us so that we can sell out there more broadly speaking to the general market. And, of course, a lot of this is based on the scale that you've got the capability you've got, we've got an outstanding product offering. And we have a new cloud-based offering that they're currently launching called Pantheon, which we think is also unique to the market. So there's a lot of good things happening at DRB.
Unidentified Analyst:
archaic:
Dave Naemura: It is -- yes, but the tunnel -- specifically is a tunnel car wash that is a standalone footprint that you might recognize you would drive to which is, like I said, stand alone, not part of any other format like a convenience store and that that format is actually growing more in the United States faster. And we have a very strong leading position there. There's also consolidation in the car wash industry, which is kind of similar to what we see in convenience store where some of the larger more strategic players are buying up some of the smaller, more fragmented one and this actually plays the DRBs favor, because they're even strong -- more strongly position with the stronger players in the market.
Unidentified Analyst: Got it. All right. Thank you.
Operator: And we have no further questions at this time. I will turn the program back over to Mark Morelli with any additional or closing remarks.
Mark Morelli: Yes, thank you, Britney. Appreciate it. I just want to thank the Vontier team for our strong momentum and for embracing our core value driven a win. Certainly appreciate your participation today and have a good weekend. Bye now.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.